Operator: Good morning, ladies and gentlemen. Welcome to the Canadian Energy Services and Technology Corp. Conference Call and Webcast with respect to the recently announced third quarter results. Presenting for the company today will be Mr. Tom Simons, President and Chief Executive Officer and Mr. Craig Neiboer, Chief Financial Officer. Please be advised that this call is being recorded. A question and answer session will follow at the end of the presentation. I would now like to turn the meeting over to Mr. Craig Neiboer, Chief Financial Officer of Canadian Energy Services and Technology Corp. Please go ahead, Mr. Neiboer.
Craig Neiboer: Good morning, everyone, and welcome to the call and thanks for attending. Before we start I would like to note that in our commentary today there will be forward looking financial information and the actual results may differ materially from the expected results due to various risks, factors and assumptions. These are summarized in our AIS dated March 28, 2013 in our Q3 MD&A and in our Q3 press release. In addition, certain financial measures that we will refer to today are not recognized under current accepted accounting principles and policies and for a description and definition of those, please see our third quarter MD&A. At this time I would like turn it over to Mr. Tom Simons, our President and CEO.
Tom Simons: Good morning. Thank you, Craig. I’d like to start by giving revenue and earnings numbers then I’m going to provide an operations update. I will go through and talk about each of the different segments of the business geographically, talk about what we’re doing operationally for our customers, give listeners some information on some of the reasons that we are having the success that we’re having. As people have read about the quarter, we had a very nice quarter. We created $182 million in revenue and on that we were able to generate $32.6 million of EBITDA. About operations, all segments of the business are contributing and performing very well. In the Canadian business, in drilling fluids in particular, we saw really nice wins in the marketplace across the spectrum largely in the deep basin and in the oil sands and heavy oil market. Our new technology for deep drilling and over pressured, dense or slow drilling formations are our salt based system called EnerCLEAR. We are getting very good results for our customers. A number of our customers are talking about those results in the capital markets. That has helped us penetrate new markets, it’s helping us lower costs for operators. To give callers a little bit of information, we were able to replace high density oil based muds with brines that can help the operator drill over pressured formations but with an absence of solids at the bit, we get the density from salt that goes into solution. These salts are highly corrosive and they don’t create an environment downhole in a horizontal well that relived friction very well. We have been able, with the scientists at our facility in Kansas built a cocktail of additives that contain corrosion and reduce torque and dragger friction in long reach horizontals and it’s allowed us to use this system for operators that are getting significant increases in penetration rates and significant increases in the life of the bit when they drill. So the bit can be on the bottom of the hole, making hole longer and not being tripped which also contributes significantly the dropped days for the customer. So we’ve got nice wins there, we’ve got new customers who are picking up bigger share in the existing shops that we already work. We believe this is a great example of how we can benefit from vertical integration as we bring JACAM molecules into our drilling fluid business. The SAGD market’s very strong for us. We continue to pick up new share in the space. Our customers remain busy there and we are very pleased with our success there. A lot of that’s attributed to the technology and people that we brought over about a year ago from Tervita. In PureChem in Canada every month gets better and we are using products like SuperCorr, our patented corrosion inhibitor to get into customers, to solve problems that our competitors can’t solve and then over time populate their location with additional chemistry. We are very pleased with the development there and very pleased with some of the people that we have been able to recruit that are science based people that are focused on solving problems for customers. Clear Environmental. Steady-eddy is how I would describe Clear. They are best in class in the Canadian market. They go to location for our customer and they clean up waste largely created by drilling fluids after drilling as fluids get more complex to allow operators to drill these deep wells, long reach horizontal wells or SAGD wells. There’s more chemistry used in the drilling fluid everyday and less mined products or food grade polymers so the disposal of those fluids and the cuttings that come out of the well board that are saturated with these fluids becomes a bigger and more challenging job for our customer and that’s where Clear steps in and helps them and wins business. Over to the US, drilling fluids are our core base business. AES had a very nice quarter. We continue to win business in the Eagle Ford. We are doing a great job for our customers there and getting rewarded with work. We are very busy in the mid-continent market. The Northeast, while we haven’t seen it pick up as gas prices remain flat, it does contribute to the business and remains a nice piece of our business in the US. On the drilling fluids side, I will note that we have been able to take the synthetic oil based technology that helped us open that market and we’ve really been able to enhance what we have acquired and are now growing in the Permian. We are using that product line to win work in New Mexico where there’s a greater sensitivity to the environment that we see in some of the other traditional oil field markets like North Dakota or Texas. About AES Permian, we acquired in the quarter Venture Drilling Fluids. Very pleased with the people that have come to join our business. That’s a very local market. We think we’ve got the right people on the ground to represent our business there to work for the customer there. We are seeing an increase percentage of horizontal drilling by our customers in that market. About the business that we bought largely based on using wholesalers so they won business by being local experts with geology, with drilling and through relationships. We are starting to integrate supply chain in that area of the business. We think over time that will help create margin and it will allow us in cases to offer sharper pricing to customers to increase our share of that market. The people in Venture are really embracing being part of AES. We’ve branded ourselves AES Permian there and seeing customers very receptive to that. The Barite Mill that we have been talking about for a year, we have had some delays with construction. Turns out we need to put pilings deeper in the ground to put the cement slab on the ground to store all these heavy rocks. That’s going to delay the completion of that mill to the end of Q1. As that mill comes on we will be vertically integrated in one of the inputs in all drilling fluids in the world. We will no longer need to buy that material from any of our suppliers. So it will kind of de-bottleneck us. That mill will be a very important tool as we build out West Texas. We think we can do swaps with other people in the mined minerals part of our business and improve our supply chain or logistics, efforts, price points in other markets like the Bakken and potentially benefit Canada. Over to JACAM. Things at JACAM are going very well. We continue to build that business out every day at a time. We’re seeing increased customer base, we’ve started supplying chemicals or molecules into the California market with an increasing level. We are very pleased with that. That could be a nice piece of business in the long term for us. JACAM revenue is growing, we’re maintaining or enhancing margin. We are adding an increased product lineup at JACAM over the next three to six months. We’re bringing an increased supply of solid chemistry to our customers through an expansion in our facility we’re going to have available sometime in Q1 of 2014, primary, secondary, tertiary aimings that are building block for much of the oil field chemistry that us and our competitors use. We are near completion of an (inaudible) play plant inside JACAM that will vertically integrate one of the key inputs in all oil based muds that the company runs. That will contribute to margin and we think we will be able to do wholesale sales of that product into the broader market. And excited to say that we have new technology that the scientists at JACAM are working on that we think will be able to bring the market and create commercial success with. I think that kind of wraps up an operation summary. I’ll turn over the financial part of the call to Craig and then we’ll both be happy to take calls.
Craig Neiboer: Once again, good morning, everyone. Welcome to the call. I think it was a very exciting quarter for us. Record revenue and earnings for us, $182 million worth of revenue across all the business units are up sequentially for us as well as $32.6 million worth of EBITDA. I think more importantly, interesting for investors is we’ve given guidance for 2014, $760 million to $820 million of revenue, $135 million to $150 million of EBITDA once again all being projected record levels for the company. In addition, as you will note in the press release we raised the dividend by $0.005. That’s the 8th dividend increase we’ve had since converting to a corporate structure in January 1st, 2010. Eight percent increase to the dividend, once again proving out our free cash flow model and our ability to grow both earnings and dividend per share as we grow this business out across North America. Once again, our balance sheet is in an extremely great position aided by the successful high yield offering that we completed earlier in the year and the equity operating we completed in August of this year putting us in great stead as we move forward and grow this business across North America. From all facets of the business, the financial results indicate that we are operating on all cylinders and we see lots of good growth as we go forward into 2014. At this time I would like to open up the call to any questions that investors or analysts have at this time. Thank you.
Operator: Thank you. (Operator Instructions) The first question is from Jason Sawatzky with AltaCorp. Please go ahead.
Jason Sawatzky - AltaCorp: Good morning, guys.
Tom Simons: Good morning, Jason.
Jason Sawatzky - AltaCorp: Tom, I’m just looking at, I just want to get some more detail on JACAM. Just wondering what was the sequential increase in revenue for JACAM and how much was that sequential increase was due to contribution from CEU sales people?
Tom Simons: Well Jason, we’re not going to segment or break out any of the different business units. We think it’s in the best interest of the company and consequently shareholders that we report one segment as a business, that’s consumable chemicals. We do of course break out Canada and the US. I can say that JACAM is growing their business in top line and maintaining or improving their margins to the bottom line. We’re not going to break out what they’ve done sort of month over month for people. They are having success getting their molecules into new markets on initiative that they were already working on when we acquired them, that would specifically be into the California market. What they’re benefitting from by being part of CES is some supply chain initiatives and we have brought a lot of their products, Jason, into PureChem in Canada and used those products as door openers to grow PureChem, SuperCorr their patented corrosion inhibitor is on over 1,000 producing wells in Canada. That’s helping us expand our production chemical division in Canada. We’re seeing increased pickup of their products from the pipeline industry, same chemistry, SuperCorr and SuperCorr X. I think what I would point to is an anecdotal example of how JACAM and CES being together is making sort of one and one be more than two is we’ve had success with this salt or brine system call (organophilic) in the Western Canadian market in drilling fluids today we’ve got about 20 rigs running that technology. That technology only works because we’re in business with JACAM. They’ve been able to create chemistry that keeps corrosion rates below what the contractor requires for their equipment, so their drill pipe. Our competitors are able to load the hole with brine, that’s not complicated. What they haven’t been able to do is keep corrosion at a measured and reported rate that the contractor will accept long term for their pipe. So we’re growing top line of the business, we’re winning market share in the drilling fluid business because of our manufacturing arm.
Jason Sawatzky – AltaCorp: Okay. And I don’t know if you can speak to this, I know Craig, I think you had mentioned on a prior call you had noted throughput at the JACAM facility, I think it was in the 20 percent to 25 percent range. Can you speak to whether that has increased into Q4?
Tom Simons: Well, Jason, I will tell you that the business is growing but we’re also expanding some of our products that we can produce in JACAM so consequently throughput goes up so I don’t know that I would estimate that as a percentage any more throughput is consumed but we have grown that business since we have acquired it.
Jason Sawatzky - AltaCorp: Okay, that’s great.
Tom Simons: It is putting out more molecules today than it was 12 months ago when it was private.
Jason Sawatzky - AltaCorp: All right. So just turning to the US drilling fluids on Venture Mud, I think when you guys did that acquisition in the Permian I think you said you were on 38 rigs. Can you give a number on how many rigs you’re operating now in the Permian?
Tom Simons: Yeah, it’s unchanged although the percentage of horizontals has gone up. AES Permian is seeing customers drilling less verticals and replacing those rigs with horizontals which benefits us, our revenue per day on a horizontal as you know, Jason, is greater and the complexity of the drilling fluid is greater which allows us to use chemistry where all the margin is.
Craig Neiboer: I would also add, Jason that a good part of our increased guidance for next year from a revenue and EBITA basis is based on growth we see in that basin on the drilling fluids business.
Jason Sawatzky - AltaCorp: Okay, that’s great. And then just on lastly on the Canadian drilling fluid side, you guys mentioned strong results in the oil sands. Lower Key Alliance Secure also said the same thing, strong results in the oil sands. Just wondering if you guys could give us a percentage of the drilling fluids market in the oil sands that you guys have.
Tom Simons: We track oil sands and heavy oil. We think we’re probably about half of the oil sands market, Jason. And then in heavy oil cold recovery, I’m not sure as a percentage. It’s a significant piece of our business. I’m very confident saying that we’re the leader in the market there.
Craig Neiboer: It’s difficult for us to (inaudible) market to that level of granularity but I guess ultimately we’ll look at our dividend at $0.065 a month and compare that too secures and investors can make their own decision.
Jason Sawatzky – AltaCorp: Yeah, for sure. That’s great, guys. Thanks for the colour.
Operator: Thank you. The next question is from Steve Kammermayer with Clarus Securities. Please go ahead.
Steve Kammermayer - Clarus Securities: Hi, guys. Congratulations on the quarter. Just in the US, so we’ve heard out of the larger US drillers, they’re expecting activity or spending by the E&P companies to go up about 10 percent based on strong crude prices. Is your guidance for next year and growth based on something similar to that or are you going to gain market share from others? How do you see that playing out in the US?
Craig Neiboer: Well, our guidance—Steven, thanks for the call—our guidance is based on things we see at a granular level with our customers and with operations. Obviously we look at the macro elements of the industry as well but we’re a very cautious company, how we manage the dividend and how we manage the balance sheet and when we put out the guidance I think it was based on things that we could see pretty clearly from what we would expect our customers to do in the various basins and operating areas. Obviously within light of the overall macro events but we are not counting on or budgeting on or planning our dividend on increases in activity generally across the entire ecosystem, it’s based on what we see going on the various basins and the various business units.
Steve Kammermayer - Clarus Securities: Okay. And then switching to Canada here, just on growth in Canada here, so I assume that’s from increasing SAGD work as well and increasing horizontal work in the deep basin. Is your growth in Canada based on a gain in market share as well as some increasing activity or are you just looking for to get the same piece of a growing pie?
Tom Simons: Well, we’ve picked up some new customers which are picking up use of our new technology of the salt system. We’ve added a little bit of work in the SAGD market. PureChem, our production chemical group, is making a nice contribution. Clear is making a nice contribution. It’s not a big part of the business but our trucking division that haul our materials around are making money every day. So I would say, Steven it’s kind of across the board, everything is performing well and contributing. Our job count in Canada today is somewhere around 130, maybe 128 so we’ve got a significant part of the market in Canada today.
Steve Kammermayer - Clarus Securities: Good. That’s all I had. Thanks, guys.
Tom Simons: Thank you.
Operator: Thank you. The next question is from Dan MacDonald with RBC Capital Markets. Please go ahead.
Dan MacDonald - RBC Capital Markets: Good morning, guys.
Tom Simons: Good morning, Dan.
Dan MacDonald - RBC Capital Markets: Just wondering, Tom, is the portion of JACAM sales that is for sort of the non oil and gas producing market grown materially from where it was when you acquired it Q2?
Tom Simons: No, those are still parts of the business, Dan that we’re working on. We’d almost call them special projects. We have formed a pipeline division and are seeing a nice yield from that but I’d describe those things as more kind of blue sky. They’re not key focuses for the business but we are very confident that our chemistry has application in the industrial markets and I’d say we dedicate sort of appropriate resources in time do it but it’s not anything that’s contributing materially financially today.
Dan MacDonald - RBC Capital Markets: And then it’s fair to think then that doesn’t make up a material part of your forecast growth as we look to 2014 either then?
Tom Simons: No, that would be incremental. We’re not counting on that in any way at all.
Dan MacDonald - RBC Capital Markets: Great. Thanks, Tom.
Tom Simons: Thank you.
Operator: Thank you. (Operator Instructions) The next question is from Greg Colman with National Bank Financial. Please go ahead.
Greg Colman - National Bank Financial: Okay, thanks a lot. Just a couple quick ones here. On your comments regarding the barite mill, just, Tom, I just wanted to highlight on one thing. I think you mentioned that it eliminates your reliance on third party barite. I was wondering does it actually do that or does it just reduce it? Are you going to be using that mill for all your barite needs or just a regional part of it?
Tom Simons: Today what we do, Greg is we bring ships of ore in and then we pay a third party mill in Brownsville to mill or pulverize those heavy rocks into powder so we can mix them in drilling fluid to raise the density of the fluid. Today we don’t use a lot of our competitor’s product. At times we’re forced to more for logistics reasons than anything. As our mill comes online, if it’s not practical to ship product out of Corpus, say, into Canada or into the Rockies, what we envision happening is that we do swaps with other producers of that product and give them some materials near our mill in exchange for materials near theirs and then both companies benefit from reduced transportation costs. So once that mill is up and running, we wouldn’t need to buy anything from anyone but it may make sense to swap stuff with people.
Craig Neiboer: Yeah, as well Greg, net/net we’re going to be a seller of barite into the market. There are a number of other independents particularly in the US that are looking for a good and guaranteed source of quality barite. We are going to be open for business from that perspective as well. It’s not a major part of the economics of building that mill obviously guarantee a supply and cost benefit to ourselves was the major factor in developing that mill but we will also be a wholesaler into the US market of barite and so net-net we are actually going to create more commercial grade barite for the drilling industry than we require for ourselves out of that mill.
Greg Colman - National Bank Financial: Okay. So if I could just sum up, just to make sure I understand correctly, your aggregate production from the barite mill is in excess of you aggregate barite consumption companywide, but there’s obviously regional imbalances there in which you will be entering into swaps. Just wondering, those swaps, is that something simply contemplated or have discussions already been undertaken?
Craig Neiboer: We hired a guy that has been in the barite business for over 30 years, an expert on both acquiring both on building these types of facilities and obviously operating the commercial part of the business. He is very confident that the commercial aspects of what we are building, the strategic location of where we are building, it will allow us to be a very competitive wholesaler into the market and he has already begun conversations, discussions and let’s call it soft commitments to different new inquiries of that barite going forward.
Tom Simons: It’s a common practice, Greg for people to do it but to be able to do it you need to be in the club where you have the infrastructure to mill it.
Greg Colman - National Bank Financial: Okay, fair enough. Thanks for that colour. Sticking on the same subject here, just curious, how does the deeper pilings impact the capital deployment for the facility, maybe on an absolute or percentage basis?
Craig Neiboer: We are expecting to spend about $15 million on that project with a payout being somewhere less than 2.5 years. It adds about $1 million in total costs and obviously delays us by about one quarter. Obviously that affects the economics in general. But the strategic decision to become completely independent in a very critical part of the drilling fluids business hasn’t changed, our outlook on that strategic investment. And the return on that investment we see actually as being very, very positive based on something a previous caller discussed which is the outlook for the drilling business is that this puts us in a place where we can both ensure that we have supply of that product at a very favourable price but I think it puts us in a place where we can be a supplier to some of the other independent suppliers of drilling fluids into US market.
Greg Colman - National Bank Financial: Great. That’s good colour. Switching gears over to JACAM for a second, a lot of questions, trying to drill down in there, understand your reluctance to get a ton of details but I’m just wondering how much, Tom, how much has total facility capacity increased since your acquisition? You mentioned adding additional facilities, I’m just wondering how much that’s gone up?
Tom Simons: I can’t quantify that today, Greg. As additional throughput of solid chemistry comes on, as hydrogenation comes on, we’re building the organophilic clay plant, so that’s the viscosifier for oil-based muds, and should tell callers that what we envisioned happening there is we’ll self supply this product to ourselves but we believe that we will also supply the broader independent drilling fluid chemical market as well and there are industrial markets we can sell that product into. As we get all these parts of the plant up and running, we’re doing a first run of solid chemistry today so that’s the pellets and smart balls that treat corrosion, treat paraffin, treat H2S, same chemistry that we use in liquid form except we solidify it to allow it to be applied in different or sort of smarter, more practical ways. But we’ll do a throughput analysis and share that with everyone, Greg. I don’t think our utilization would have probably exceeded a quarter of the plant today.
Greg Colman - National Bank Financial: Okay. Great. And then switching over to 2014 guidance, appreciate giving the Street a bit of colour there as to what you’re envisioning. I missed a few of Steve’s questions so I just want to apologize if I’m, and please tell me if I’m just reiterating what he said, but what was the process you underwent in order to achieve that range?
Craig Neiboer: Well I think that we still have a business that is somewhat exposed to the drill bit as opposed to the other segments of the oil fields being completions, production and the downstream portions of transportation and infrastructure so I think Greg, we’re going to have a range on our guidance that accommodates the fact that drilling can be cyclical. Our viewpoint and how we have managed the dividend and how we’re going to manage guidance going forward is based on a relatively conservative viewpoint. Things that we’re confident and we see with some kind of clarity going forward, obviously it’s tough to forecast four quarters out or five quarters out at this stage what the drilling business is going to do across North America. But it’s kind of a balanced and measured approach and we think we are very confident that that guidance is going to be achievable and conservative.
Greg Colman - National Bank Financial: Does it include any acquisitions?
Craig Neiboer: I would say that judging by the analyst cover of some of our various competitors, no, we do not incorporate into our forecast un-built facilities, un-acquired companies. What we are looking at is the organic growth of our business.
Greg Colman - National Bank Financial: And what kind of 2014 capital budget are you envisioning to support that guidance range?
Craig Neiboer: Well, as we’ve told the market many times we have an asset light business model, that’s why we can create significant free cash flow, significant free cash flow for per share, why our dividend continues to grow, 8 times dividend increase is January 1, 2010. I mean obviously I’m not in Bloomberg right now and I can’t run the screens but I doubt you’re going to find many comparables to that which is a testament to our free cash (inaudible). But going forward our CapEx expectations, we’re going to put some strategic infrastructure into the Permian which we’ve told the market to take that platform from being something that bought exclusively from wholesalers to something that can be more basic in the supply of oil based muds. We have additional infrastructure from warehousing, trucks going into the JACAM and PureChem business models as we grow that out. So our maintenance CapEx year over year is relatively flat, somewhat increased due to the increased size of the business, somewhere in the neighbourhood of $5 million to $6 million. And our expansion CapEx as we see it right now is going to be in the range of $30 million, maybe $35 million depending on some of the projects that we’re looking at. There’s been some slippage due to the delay in building up the barite facility, the sort of CapEx spilling over into 2014. But once again, this is an active light business, it consumes chemical (inaudible) to free cash flow model and the dividend growing business growing up in the model.
Greg Colman - National Bank Financial: Thanks, Craig. That’s excellent colour. That’s it for me, guys. Thanks a lot.
Tom Simons: Hey, Greg, I might go back if I could and get a little bit granular on the forecast. So we get with every different geographic sort of regional manager inside the different pieces of the business. We have those guys pencil out with their people what their activity is going to be, we add that up, we compare it against our macro view on commodity prices, we compare that with what our customers are telling the public markets, what they’re planning to do and then we apply what I would call some common sense where you might have some wins but you might have some losses and that’s how we get to the totals that we get to. So it’s pretty granular. We build out a model for the drilling business, for environmental, for trucking and obviously for the production specialty chemicals. It’s very granular on how we do it and we build it sort of from the bottom up and then extrapolate out what we think revenue per day will be in the different basins.
Greg Colman - National Bank Financial: Hey, that’s excellent. Just on the follow up there, there’s two approaches. Your regional managers on the bottom up and sort of what you see from the customer public comments and the macro view. Which side were those two things on? Was the bottom up one the higher end of the range or was the macro view and the public comments the higher end of the range?
Craig Neiboer: I think all our managers are extremely entrepreneurial. They see lots of opportunity. If we put out guidance based on what they all see it would be much higher. Obviously our job as management and overall business is to temper that and to temper that message to the market. So if we hit on all cylinders and all the opportunities that guys see in front of them in the windshield of their opportunities the guidance would be higher but obviously that’s in the best interest of investors because never does it go in the oil field exactly how everyone perceives it going.
Greg Colman - National Bank Financial: No, that makes a ton of sense. And while we’re getting a bit of increased granularity, what was the revenue in the quarter from JACAM?
Craig Neiboer: Once again, we have one segment...
Greg Colman - National Bank Financial: It was worth a shot.
Craig Neiboer: So that’s not something that we’re going to disclose to the markets on a selective basis.
Greg Colman - National Bank Financial: Thanks a lot, guys.
Operator: Thank you. The next question is from Don Garman with Cormark. Please go ahead.
Don Garman - Cormark: Good morning, guys. On the JACAM side, could you provide us with a sense of how the completion products sales are developing primarily in Canada and then I would ask you how much of that if any has been factored into your 2014 outlook?
Tom Simons: It’s a very modest part of the business still, Todd. In Canada we are selling scale corrosion, biocide shale inhibitor into some of the small pressure pumpers, selling a bit of stimulation product. And in the US have some sales of the same chemistry both direct to the E&P and to the pumper. Just picked up an order this week from I’ll say a large private pressure pumper that is based in Calgary so I’m sure you have some sense of who that could be but it’s not a significant piece of the business, Todd. It makes it easier for us to forecast JACAM’s contribution because of course the fracking follows the drilling so it can be bumpy. But it’s a high margin part of the business. It’s something that we’re conscious of. We think we need to attract some additional highly technical help to promote what we can make. The focus of JACAM historically has been at the pump jack and into the pipelines and not a big focus on frac chemicals but we’re basic in making all that stuff and you know management of the company, well, we want to sell it.
Craig Neiboer: And I think the other side of that Todd is we’ve built on a product suite on both markets, the US and Canada that crosses all of the types of chemicals that pumpers are looking for. And in general with respect to JACAM is guys continue to look for guidance, I would say that the barometer on the JACAM and the repeatable business model is the fact that our gross margin number continues to creep up. There’s no secret in the fact that the drilling business is extremely competitive and cost competitive and so most of that margin contribution is coming from our repeatable and dependable business model at the pump jack with respect to the JACAM and PureChem business models.
Don Garman - Cormark: So there’s my second question. If I could just come back to the completion side, when you think about the reception from the pumping companies to a local or Canadian base supplier, what has that been like? And when you look at the products that you are currently selling as you suggest are high margin, how do you look at that, the potential for that market to grow over time.
Tom Simons: We think the potential is significant, Todd. It’s very early days. The people that we have in PureChem, largely their expertise is servicing the E&P at the pump jack. So we need to build a team of scientists that can support the sale of those products into the big independent pressure pumpers in Canada. To me it remains logical that there should be some favourable reception by those people that consider us because unlike some of the chemical suppliers like Baker and Weatherford, we are not at the front line competing for the frac with those guys. So I think that if we can deliver products that work, products that might uniquely solve problems and enhance the competitive position of the pumpers system then I think there’s some business to do. So right now we are actively trying to bring talent into the company in the Canadian market that could support the sale of those products and give the sort of technical support that the pumper is going to look for and need. And we’re in the throes of doing that so we haven’t knocked on those doors to any great extent yet.
Don Garman - Cormark: Okay. And then just back to the gross margin level. If I look at the increase year over year, is it fair to say that it’s been driven, Craig, more by the higher margin JACAM product line and less by the integration of JACAM into the drilling business itself? I know it’s only six or nine months old but...
Craig Neiboer: We needed to integrate this business across all the facets that we touch the oil fields. Obviously there is contribution across all those facts. I think myself as a financial guy, I get pretty excited about the contributions of both PureChem and JACAM are making it, they call it the repeatable part of our business which is at the pump jack which is probably the largest contributor to that slow creep up in gross margin. As we’ve told the market many times, it’s not a margin story, this is a growth story, this is a top line revenue and geographical expansion and acquisition of new customer story but obviously an improvement on the margin at the gross margin is obviously a very positive as well to the amount of free cash flow this business can create and our ability to continually support and then hopefully, futurely expand the dividend as we go forward.
Don Garman - Cormark: Okay. That’s all I’ve got. Thanks.
Operator: Thank you. The next question is from Kevin Lo with First Energy. Please go ahead.
Kevin Lo - First Energy: Good morning, folks.
Craig Neiboer: Hi, Kevin.
Kevin Lo - First Energy: Hi. Can, (inaudible) with your guidance next year, how much of that is growth in Canada and how much of that growth is US? Are you more positive when one market versus another?
Craig Neiboer: Well, I think, Kevin, we’ve said this to the market many times. We see Canada having huge upside as we go forward. If and when LNG happens, if and when deep gas drilling really takes off, if and when these plays like the Duvernay, Horn River, et cetera go to harvest mode. None of the Canadian resource plays in our mind have really gone to harvest other than the Canadian Bakken. There’s huge latent opportunity in the Canadian market. We think we’re very well positioned to take advantage of it when it happens. But we think it’s a little further out than many of the other competitors in our space and others and now I guess Canadian service companies. Most of our growth and we’ve said that to the market we see happening south of the US border. We think the Permian is a huge opportunity on both the drilling and production side and obviously JACAM, billing that across our platform is also a huge opportunity of growth. And once again, I think we’re trying to manage this business from a conservative basis. We have looked at the near set opportunity set that all our business units have. What they see right in front of them with respect to customers and opportunity and we’ve tempered that a little bit with our guidance.
Kevin Lo - First Energy: Okay, great. That’s all for me. Thanks, guys.
Tom Simons: Thanks, Kevin.
Operator: Thank you. The next question is from Al Nagaraj with Industrial Alliance. Please go ahead.
Al Nagaraj - Industrial Alliance: Good morning, guys and congratulations on the good quarter.
Craig Neiboer: Good morning, Al.
Al Nagaraj - Industrial Alliance: Quick question on like when you look out to 2014/2015, can you talk a little bit about your recent acquisition and what do you see in the marketplace, maybe a strategic area for you and things like that please?
Tom Simons: We don’t think we need to do anything, Al. We think...
Al Nagaraj - Industrial Alliance: I said what you want to do.
Tom Simons: What we want to do is grow top line, enhance margins and we think the path to that is continuing to solve problems for our customers. So number one focus is look after the people that are already working for. It’s to bring new technical talent to the company. I think it’s noteworthy that we have really stepped up on sort of the talent of the professionals inside the business. So we are focused on managing our risk. We’re focused on tax, focused on insurance, focused on governance. We’re conscious of the fact that we built the size of business we have and we have a franchise that needs to wring every dollar out of it that it can as free cash flow and it needs to manage all the moving parts as sort of safely and carefully as it can. So that’s what our focus is today. We’re actually in San Antonio doing a planning and strategy session with our top people in the company. As we look at what else would be nice to add to the business, we would like to have production specialty chemicals going into the ground in West Texas. Obviously there’s stacked oil plays there where it’s early days to apply fracking technology to them. So that’s a market that we want to be in. It is a low flow market. We have the technology that would work in the area. We have throughput capacity in Kansas to supply the chemistry so in time that may be a place we look. We do think we can have some organic success there but we think we need boots on the ground. As far as drilling fluids go, I think we would only look at technology. I’m not sure that we need more talent necessarily. We’ve got to the scale and size that I think we can train our own, we can recruit people from industry as required. However if there is a group that have something that people wanted, we would look at it. Our criteria to look at anything first and foremost is what are the people about? What are they going to do with our culture? Are they focused on solving problems? And then of course are they focused on staying and working afterwards. So we will take kind of our normal fussy outlook, anything we look at. But I would say that we don’t need to do anything in the near term but there are opportunities. We’re light on how much product we sell into the frac market. We’re light on what we sell in the pipeline market and there are places in North America that we don’t have big market penetration as a pump jack.
Al Nagaraj - Industrial Alliance: Thanks a lot, Tom. That’s all the questions I have.
Tom Simons: Thank you, Al.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Neiboer.
Craig Neiboer: Well, once again thanks, everyone for attending the call. We as a company are excited as all our business units across North America are performing very well. That’s demonstrated obviously by the results of the quarter and the increased cash dividend. Once again, the eighth increase since converting to a corporate structure. Look forward to talking to all of you in the next conference call. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.